Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. My name is Kelvin, and I will be your conference operator today. At this time, I would like to welcome everyone to the Q2 2025 Knowles Corporation Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Sarah Cook. Please go ahead.
Sarah Cook: Thank you, and welcome to our second quarter 2025 earnings call. I'm Sarah Cook, Vice President of Investor Relations. And presenting with me today are Jeffrey Niew, our President and CEO; and John Anderson, our Senior Vice President and CFO. Our call today will include remarks about future expectations, plans and prospects for Knowles, which constitute forward-looking statements for purposes of the safe harbor provisions under the applicable federal securities laws. Forward-looking statements in this call will include comments about demand for company products, anticipated trends in company sales, expenses and profits and involve a number of risks and uncertainties that could cause actual results to differ materially from current expectations. The company urges investors to review the risks and uncertainties in the company's SEC filings, included but not limited to, the annual report on Form 10-K for the fiscal year ended December 31, 2024, periodic reports filed from time to time with the SEC, and the risks and uncertainties identified in today's earnings release. All forward-looking statements are made as of the date in this call, and Knowles disclaims any duty to update such statements, except as required by law. In addition, pursuant to Reg G, any non-GAAP financial measures referenced during today's conference call can be found in our press release posted on our website at knowles.com, and in our current Form 8-K filed today with the SEC. This will include a reconciliation to the most directly comparable GAAP measure. All financial references on this call will be on a non-GAAP continuing operations basis, with the exception of cash from operations or unless otherwise noted. We've made selected financial information available on webcast slides, which can be found in the Investor Relations section of our website. With that, let me turn the call over to Jeff who will provide details on our results. Jeff?
Jeffrey Niew: Thanks, Sarah, and thanks to all of you for joining us today. As the tariff situation continues to evolve, I will provide a brief update before my commentary on our second quarter results and the market outlook. Although the tariff situation continues to be fluid, we are further along in our analysis and still believe Knowles is well positioned as it relates to the direct and indirect impacts of tariffs. As I previously said, we are generally a proximity manufacturer, meaning the vast majority of our products built in the U.S. are shipped within the U.S., and products built in Asia shipped to customers in Asia and Europe. Couple this with our philosophy of sourcing materials geographically close to our production facilities and our total exposure to tariffs is less than 5% of revenue and 3% of cost of goods sold. In Q2, we have had success in passing these additional costs on to our customers, and our expectation is to continue to do so without loss of business. Additionally, I believe the primary end markets we serve in medtech, defense and the industrial sectors will be relatively insulated from the impacts of tariffs. Let me reiterate what I previously said. The applications that our products serve in medtech markets such as hearing aids and devices that our capacitors are in, such as implantables, imaging and ventilators to name a few, have traditionally been considered essential. As these products are essential, our historical experience shows economic shocks and subsequent recessions can have modest short-term impacts to these markets, but tend to have very little impact over the course of a full year. I also believe the defense programs we participate in are secure, and based on our recent order activity, demand appears to be gaining strength. Finally, the industrial market has been more sensitive than medtech and defense to recessions, but we are currently not seeing any impact on demand. We are obviously continuing to monitor this closely. Now I'll turn to our results. In Q2, we had a strong quarter, delivering revenue of $146 million, up 8% year-over-year, and cash from operations of $36 million, both exceeding the high end of our guided range. EPS of $0.24 was above the midpoint of the guided range, up 20% year-over-year. Our business units continue to execute to the plan based on the strategy we laid out at our Investor Day. Now turning to our segments. In Q2, MedTech & Specialty Audio revenue was $67 million, up 13% sequentially and 10% year-over-year. We saw strength in both our Specialty Audio business and in the Hearing Health market in Q2. Very similar to what we have seen historically, there was a brief slowdown in demand for Hearing Health products due to macroeconomic uncertainty in Q1, with sequential and year-over-year growth returning in Q2. The Hearing Health business continues to be resilient as these products are considered essential devices. With customers depending on our ability to develop -- deliver unique solutions, I would note the demand for MSA products continues to be strong as we head into Q3, giving me confidence in the expected year-over-year growth within our MSA business. In the Precision Devices segment, Q2 revenue was $79 million, up 8% sequentially and 6% year-over-year. Revenue increased across all our end markets for both OEM and distribution partners. In Q2, bookings trends building on Q1 continue to be strong for the Precision Device segment. I would note this is the third consecutive quarter with positive bookings trends. The bookings trends was broad-based across most of our end markets and the distribution demand has returned as we believe inventory levels have normalized. We continue to collaborate with our customers, leading to a robust pipeline of new design wins as our customers continue to choose our innovative and differentiated solutions across all the markets we serve. Overall for Knowles, as we noted at the Investor Day, with the acceleration of design wins and order activity, we are positioned well for organic growth in 2025. Beyond 2025, we expect an increase of organic growth rates from the historical levels as new initiatives such as the expansion of our specialty film production line comes online. Additionally, new products such as our inductor line, which we just announced last week, has the potential to expand our TAM and drive future growth. We are executing on the strategy of leveraging our unique technologies, creating custom products through our customer application intimacy and then scaling into production with a world-class operational capability for end markets with strong secular growth trends. It is proving to be a winning combination, leading to the beat in revenue and EPS this quarter, and I believe it will allow us to continue to expand our margin profile. In the second quarter, we repurchased $30 million in shares, which was funded by robust cash generation from operations. We believe our strong cash generation will allow us to pursue synergistic acquisitions and buy back shares while continuing to keep our debt at very manageable levels. In summary, as we enter the third quarter of 2025, I am excited by the momentum and strength the business demonstrated and the growth opportunities that we have in front of us, both in the near and longer term. As I think about our growth potential in 2025, distribution inventory appears to have normalized and as orders are increasing and our design wins continue to be strong across our product portfolio. This is driving increased demand for our products, which gives me confidence we have entered a period of accelerated organic growth. We are laser-focused on what we do best, designing custom engineered products and delivering them at scale for customers and markets that value our solutions, positioning us well for growth beyond 2025. Now let me turn the call over to John to detail our quarterly results and provide our Q3 guidance.
John Anderson: Thanks, Jeff. We reported second quarter revenues of $146 million, up 8% from the year ago period and above the high end of our guidance range. EPS was $0.24 in the quarter, up $0.04 or 20% from the year ago period and above the midpoint of our guidance range. Cash generated by operating activities was $36 million, exceeding the high end of our guidance range, driven by timing of collection activities, lower-than-anticipated inventory and payments received in connection with settlement of foreign currency hedges. In the MedTech and Specialty Audio segment, Q2 revenue was $67 million, up 10% compared with the year ago period, driven by increased demand in Hearing Health and Specialty Audio. Q2 gross margins were 50.6%, down 280 basis points versus the year ago period, driven by unfavorable product mix and higher factory costs. As expected, gross margins in the second quarter improved 200 basis points sequentially, and we expect gross margins to remain in the low-50% range in the second half of the year. The Precision Devices segment delivered second quarter revenues of $79 million, up 6% from the year ago period. Segment gross margins were 38.7%, up 150 basis points from the second quarter of 2024, as improved pricing and higher production volumes resulted in increased factory capacity utilization in our legacy Precision Devices business. These improvements were partially offset by higher scrap costs and factory inefficiencies as we continue to ramp up the specialty film product line. On a total company basis, R&D expense in the quarter was $9 million, up slightly from Q2 2024 levels. SG&A expenses were $28 million, up $2 million from the prior year levels, driven primarily by annual merit increases and higher incentive compensation costs. Interest expense was $3 million in the quarter and down $2 million from the year ago period as we continue to reduce our debt levels. Now I'll turn to our balance sheet and cash flow. In the second quarter, we generated $36 million in cash from operating activities. It's important to note that cash from operations for the 3 months ended June 30 includes $8 million in cash utilized to settle supplier obligations related to the Consumer MEMS Microphones business, which was sold last year. Capital spending was $5 million in the quarter. We continue to expect to generate operating cash flow of 16% to 20% of revenues for full year 2025. During the second quarter, we repurchased 1.9 million shares at a total cost of $30 million. We exited the quarter with cash of $103 million and $190 million of debt that includes borrowings under our revolving credit facility and an interest-free seller note that was issued in connection with the Cornell acquisition. Lastly, our net leverage ratio, based on trailing 12 months adjusted EBITDA, was 0.7x, and we have liquidity of more than $350 million as measured by cash plus unused capacity under our revolving credit facility. Moving to our guidance. For the third quarter of 2025, revenues are expected to be between $144 million and $154 million. R&D expenses are expected to be between $8 million and $10 million. Selling and administrative expenses are expected to be within a range of $25 million to $27 million. We're projecting adjusted EBIT margin for the quarter to be within a range of 22% to 24%. Interest expense in Q3 is estimated at $2 million and includes noncash imputed interest, and we expect an effective tax rate of 13% to 17%. We're projecting EPS to be within a range of $0.29 to $0.33 per share. This assumes weighted average shares outstanding during the quarter of 88.5 million on a fully diluted basis. We're projecting cash generated by operating activities to be within the range of $20 million to $30 million. Capital spending is expected to be $11 million. We expect full year capital spending to be approximately 5% of revenues as we increase investments associated with capacity expansion related to our specialty film line. In conclusion, we resumed year-over-year revenue and earnings growth in both segments in the second quarter. And with the strong backlog and increased order activity, we expect to continue to sustain both sequential and year-over-year revenue and earnings growth for the remainder of 2025. I will now turn the call back over to the operator for the questions-and-answers portion of our call. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Christopher Rolland of Susquehanna.
Christopher Rolland: Congrats on these results. So the guide was nicely ahead of what we were thinking and perhaps what you guys were thinking earlier in the year. If you could speak to maybe the delta, what is providing that upside? And then also any update on demand for the thin film opportunity as well?
Jeffrey Niew: Yes. So first, I would sit there and say, I think, Chris, as I mentioned on the call, this is the third -- with Q2, the third successive quarter within the PD segment where we've had a book-to-bill over 1. I would note our book-to-bill in Q2 for PD was above 1.15. So we have the very strong bookings quarter again. And it was pretty broad-based. I'd say in the PD segment, it was medical, defense, industrial, it's with our distribution partners as well as with our direct customers. So we're seeing quite a bit of demand on the PD side. I would sit there and say, on the MSA side, on the Hearing Health side, obviously, we saw Q1 be a little bit weaker in the end market, but it bounced right back in Q2. Kind of like we've said in the past, with these essential devices, maybe somebody stays home for a month and delays getting a hearing aid by a month, but it bounced back very nicely. And we're expecting both segments to have year-over-year growth for full year 2025. So it's really pretty broad-based, Chris, across most markets. And I think kind of -- it's, I would say, a little bit of a testament to kind of what we laid out at Investor Day, which is around these three markets, medtech, industrial and defense. And I would add -- one last piece I would add, I was just looking at our bookings for July. July to date, we are already having another strong month of bookings in July already.
Christopher Rolland: Excellent. And then I know you're not guiding 2 quarters ahead. But without the MEMS business, I think that was maybe -- could create some volatility for Q4. Did you have any early thoughts on how we should be thinking about Q4? And then secondly, just gross margin expansion. Like with these higher volumes, what should we expect from higher utilizations moving forward here?
Jeffrey Niew: Yes. I'll let John cover the gross margin in a second. Just from a revenue base, obviously, you're correct, we're not guiding Q4. But I would say this, we are expecting year-over-year growth again in Q4, and we expect sequential growth again in Q4. That's what I would sit there and say at this point. I mean, I think we're pretty fully booked already for Q3 with our lead times and our strong intimacy with our customers, we have a pretty good view of Q3. We're starting to get a pretty good view into Q4, but we're still expecting based on the order activity that we'll see year-over-year growth in Q4 as well as sequential growth in Q4.
John Anderson: Yes. Chris, in terms of gross margins and specifically capacity utilization, we delivered gross margins of 44.3% in Q2. We expect sequential to be at least up 100 basis points or more in Q3 and kind of similar levels in Q4. And again, those improvements over the current 44.3%, as you said, it's primarily driven by capacity utilization in our high-performance caps business and also a little bit in our MSA segment.
Operator: Your next question comes from the line of Bob Labick from CJS Securities.
Bob Labick: Congratulations on continued strong performance. Well, congrats on the strong performance. Let's see. You touched on organic growth accelerating [indiscernible] '25. You mentioned the film expansion and inductor lines. I was hoping you could just expand on that a little bit. And the film is for the energy order you talked about on previous calls? Or how should we think about that?
Jeffrey Niew: Well, the film will be, yes, the energy order, but that won't really start hitting revenue line until probably midyear next year when we'll start delivering that order. So the growth in the specialty film line is actually going to be other customers, mainly medtech, defense and industrial shorter term. But I think here's how I kind of would frame it. If you looked historically, we gave quite a bit of information at the Investor Day. And historically, these businesses that we have owned today, continuing ops have grown over a cycle. They grew at -- we showed 4% organically. We kind of committed that on an organic basis, we think that over a cycle, 4% to 6% now is kind of the growth rate for these businesses. And I would say we're trending toward the higher end of that range right now. And so it's going to be driven by, first, a lot of new design wins in our core. So I think we got good design wins in our core products. But then there's these other expansionary opportunities. I would sit there and say specialty film is going to really start delivering significant growth in the back half of this year as well as into 2026. The inductor line is going to take a little longer. We just introduced that product category last week. It builds off of our ceramic capacitor capabilities or ceramic inductors. And we would hope starting in about 24 months from now, we'd start to see some more significant revenue. So I think I would sit there and say, we've got a lot of design wins in the core, plus we've got some other opportunities that are expanding our TAM and allowing us to grow. So over the next, I would say, year to 2 years, I would sit there and say our growth rate is going to be probably towards the higher end of that organic range that we laid out at the Investor Day.
Bob Labick: Okay. That sounds great. And then you touched on this, too. Obviously, you had strong cash flow in the quarter. You bought back stock, but you still mentioned M&A as a potential part of the growth over time. Can you talk just a little bit about the M&A market? It has closed up for a couple of companies or industries with all the macro noise. How does it look now? How is your pipeline? What are your opportunities? How do you feel about it?
Jeffrey Niew: Pipeline is good. I'd say, it's obviously hard to predict exactly when this is all going to come to fruition. We want to be disciplined around this, of course, as we've kind of done in the past. We want to make sure that we're thinking about thoughtful what we do. We said at the Investor Day, there's kind of three types of acquisitions: there's consolidation, there's extensions and there's adjacencies. I'd say, again, Q1 into Q2, the market kind of froze up a little bit on doing M&A. It seems like it's starting to reopen again. So while I don't have anything to announce here today, obviously, and it's hard to predict when things will happen, I think we're being aggressive here in areas where we think we can drive value for the corporation. And so we'll be looking at this. Obviously, we have our metrics. I don't know, John, you want to cover how we look at this, but we're going to be very disciplined about what we do.
John Anderson: Yes. I mean, Bob, we have a lot of optionality. I would say, with our low leverage and our strong cash flow generation, we continue to have a lot of optionality with respect to capital allocation. As you mentioned, we repurchased 30 million in shares -- $30 million in shares in Q2 at an average price of just under $16. I would say likely that we'll continue to buy back shares in the back half of '25.
Operator: [Operator Instructions] And there are no further questions. This concludes today's conference call. Thank you for your participation. You may now disconnect.